Operator: Good morning, everyone, and welcome to the Trulieve Cannabis Corporation First Quarter 2025 Financial Results Conference Call. My name is Debbie, and I will be your conference operator for today. As a reminder, this conference call is being recorded. I'd now like to introduce your host for today's conference, Christine Hersey, Vice President of Investor Relations for Trulieve. You may begin.
Christine Hersey: Thank you. Good morning, and thank you for joining us. During today's call, Kim Rivers, Chief Executive Officer; and Ryan Blust, Interim Chief Financial Officer, will deliver prepared remarks on the financial performance and outlook for Trulieve. Following the prepared remarks, we will open the call to questions. This morning, we reported first quarter 2025 results. A copy of our earnings press release and PowerPoint presentation may be found on the Investor Relations section of our website, www.trulieve.com. An archived version of today's conference call will be available on our website later today. As a reminder, statements made during this call that are not historical facts constitute forward-looking statements, and these statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially from our historical results or from our forecast, including the risks and uncertainties described in the Company's filings with the Securities and Exchange Commission, including Item 1A Risk Factors of the Company's most recent annual report on Form 10-K, as well as our periodic quarterly filings. Although the Company may voluntarily do so from time-to-time, it undertakes no commitment to update or revise these forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. During the call, management will also discuss certain financial measures, that are not calculated in accordance with the United States Generally Accepted Accounting Principles or GAAP. We generally refer to these as non-GAAP financial measures. These measures should not be considered an isolation or as a substitute for Trulieve's financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our earnings press release, that is an exhibit to our current report on Form 8-K, that we furnished to the SEC today and can be found in the Investor Relations section of our website. Lastly, at times during our prepared remarks or responses to your questions, we may offer metrics to provide greater insight into the dynamics of our business or our financial results. Please be advised that, we may or may not continue to provide these additional details in the future. I'll now turn the call over to our CEO, Kim Rivers.
Kim Rivers: Thank you, Christine. And good morning, everyone, and thank you for joining us today. We are excited to report another strong quarter and fantastic start to the year. Best-in-class gross margin and strong operating cash flow during a seasonally slower quarter clearly demonstrate our commitment to operational excellence. First quarter revenue of $298 million increased slightly compared to an atypically strong first quarter last year. Gross margin improved to 62% versus 58% last year, driven by lower production costs and disciplined promotional activity. Adjusted EBITDA of $109 million or 37% margin improved by 1% compared to last year. Operating cash flow of $51 million contributed to cash approximately $330 million at quarter end. First quarter results showed strong demand for cannabis products. Retail traffic and units sold both increased 7% year over year, while pricing compression and loyalty point redemptions pressured retail revenue to declined slightly by 1%. Momentum in our wholesale business continued in the first quarter with revenue up 25% versus last year. Demand for Trulieve branded products and expanded relationships with key wholesale partners in Maryland and Pennsylvania contributed to higher wholesale revenue. Since the start of the year, we have observed modest shifts in consumer behavior towards value-oriented products. As in prior cycles, we are actively refining our product offerings, pricing and promotional activity to meet customers where they are. By leaning into competitive advantages, including deep connectivity to our customer base and the ability to quickly modify production mix and utilization, we are further solidifying our position as an industry leader. This year, we are building upon the strength of our business with an emphasis of four key areas: customers, distribution, branded products and reform to drive regulatory change. First and foremost, everything at Trulieve begins and ends with the customer in mind. Our store teams take great pride in serving our customers with care, knowledge and convenience. A key component of our customer-centric approach is our ability to provide store managers and associates with training, support and real time feedback to drive overall customer satisfaction and outstanding experiences. During the first quarter, Net Promoter Score increased by four points compared to last year and every market scored within our target range. Kudos to the entire retail team for driving such a notable improvement. As part of our strategy to attract and retain loyal customers, last year, Trulieve rolled out a refreshed rewards program company-wide featuring portable, stackable and redeemable points, all designed to reward repeat purchases and foster customer retention. At quarter end, the loyalty program reached over 625,000 members, growing by almost 20% in the first quarter. Consistent with last quarter, on average loyalty program members spent 2.3x more per month than non-loyalty members. Our data shows that consistently delivering elevated experiences, high quality branded products and generous loyalty rewards to customers reinforces retention. First quarter customer retention remains strong at 66% company-wide and 75% in medical-only markets. Turning now to our second focus area, distribution. Expanding our retail and wholesale distribution channels allows us to reach more customers, while providing greater access to legal cannabis products. We are working to attract new customers in retail with new relocated and refreshed stores, while accelerating wholesale distribution of branded products, particularly in Maryland and Pennsylvania. This year, we plan to open 10 new retail locations, relocate up to three stores and refresh or remodel up to 45 dispensaries. During the first quarter, we opened 60 dispensaries in Arizona, Florida and Ohio. We relocated one Pennsylvania dispensary, refreshed nine locations and closed two Florida locations. Today, we operate 229 dispensaries in eight states. The power of our retail platform was on full display during the 4/20 holiday season. Compared to last year, units sold increased by 20% and traffic increased by 9%. Customers took advantage of 4/20 deals, stocking up during sales while celebrating the holiday. Our retail team expertly managed the spike in customer traffic, equipped with training, technology and support. On average, customer wait times were less than four minutes, demonstrating our ability to provide superior service levels at higher volumes. The size and sophistication of our combined retail production and data platforms lend Trulieve a meaningful competitive edge in several ways, especially in dynamic macroeconomic environments. First, as a leading cannabis retailer in the U.S., Trulieve has unparalleled access to customers. Second, multiyear investments in data analytics enable early identification of changing customer behavior. Third, modular production capacity allows quick pivot in utilization and product mix in response to market conditions. In combination, these capabilities afford Trulieve the flexibility to identify and respond to evolving customer preferences, further reinforcing customer satisfaction and retention. Knowing what our customers want dictates efforts in our third focus area, branded products. Consistent availability of approachable high-quality products is essential to long-term success. With over 4 million square feet of capacity, our production team continues to deliver outstanding results. Yields and potencies remained strong overall in the first quarter, contributing to gross margins, while supporting the value proposition of branded products. Trulieve's brand portfolio includes meticulously crafted internal brands augmented by popular third-party brands. In the first quarter, Trulieve sold over 12 million branded products through our branded retail network, up 7% versus last year. Trulieve brands Modern Flower and Roll One continue to gain momentum, representing over 40% of our branded products sold. The expanded reach of these accessible brands demonstrates true resonance with customers across the country. Our edible brand Sweet Talk continues to gain traction in Arizona, Florida and Maryland. We plan to launch additional products under the Sweet Talk brand in existing markets this year. Turning now to a new branded product category for Trulieve, THC beverages. In February, we launched Onward, a line of Farm Bill compliant beverages. Premium Onward beverages powered by Trulieve are available in select locations in ABC Fine Wine & Spirits, Shores Liquors and Total Wine in Florida and online at DrinkOnward.com. Through a combination of in store sampling events and training sessions, we are raising awareness and understanding of the THC beverage category and the Onward brand. Next month, we plan to launch an exciting new energy drink called Upward. Upward leverages our proprietary CBD and THC emulsion blend to provide an enjoyable focused occasion like no other. Combining CBD and THC with natural caffeine creates an elevated feeling that is simultaneously calming and energizing. The upside is for consumers seeking clarity and focus without the jitters or crash associated with traditional caffeine-based energy drinks. Upward will be available in four flavors: 5 mg lemonade, peach nectarine and strawberry tea and 10 mg pink lemonade. Broad distribution of high-quality branded products is essential to building lasting brand equity supported by an army of loyal customers. We look forward to expanding branded product offerings and distribution through new and established channels. Finally, our fourth key area is reform. Trulieve continues to lead from the front, tirelessly pushing for a commonsense approach that acknowledges the value of cannabis and reflects popular opinion. This year, we are investing to support meaningful advancement, including Rescheduling, SAFE Banking and States 2.0 at the federal level and adult-use in Florida and Pennsylvania. Our action includes individual efforts by Trulieve and a leadership role in the U.S. Cannabis Roundtable. For decades, federal classification of cannabis as a Schedule 1 drug has lost medical research, prevented full development of the regulated industry and limited access to natural relief provided by the plant. Rescheduling to Schedule 3 would acknowledge the medicinal value of cannabis and enable cannabis research, representing a meaningful step towards greater reform. At the same time, Rescheduling would remove the 280E tax burden, allowing state licensed operators to pay normalized tax rates, bringing up capital to invest in the regulated industry. SAFE Banking would allow financial institutions to provide ordinary banking services to cannabis companies and employees, reducing reliance on cash and improving safety for dispensary workers. SAFE Banking enjoys strong bipartisan support, as it would accelerate economic growth and the development of a more robust legal industry. Since 2019, SAFE Banking legislation passed in the House 7x and moved out of the Senate Banking Committee. We are optimistic that SAFE Banking legislation will be revisited this year. Last month, bipartisan legislators introduced a new bill called the States 2.0 Act. If passed, this bill would allow each state to determine its own approach to regulating cannabis. State 2.0 removes cannabis from the Controlled Substances Act, allows oversight by the TTB and the SEA and removes the 280-E tax burden for compliant operators. In our home state of Florida, last November, voters fell just shy of the 50% threshold required for passage. However, approximately 6 million Floridians voted in favor of personal adult-use. In December, the Smart & Safe Florida campaign filed revised ballot language for personal adult-use legislation, incorporating learnings from the 2024 campaign. The campaign is currently working on signature gathering required for inclusion in the November cycle. To date, the campaign has collected over 700,000 signatures, which once validated is sufficient to trigger review by the Florida Supreme Court. With 23 million residents and 143 million tourist visits per year, Florida has the potential to be the best legal cannabis market. In Pennsylvania, support for adult-use legalization continues to build momentum as most neighboring states have launched adult-use programs. Earlier this week, adult-use legislation was filed in the House of Representatives, kicking off the first step towards reaching a bipartisan agreement. Trulieve has been working to educate legislators and key stakeholders about the benefits of cannabis and legalization for adults. We remain optimistic that, adult-use legalization can happen in the near-term. With increasing acceptance of cannabis, Trulieve will continue to push for meaningful cannabis reform and expanded access for patients and adults. In summary, we are advancing our leading edge in four areas this year: customers, distribution, branded products and reform. By leaning into our intrinsic strengths, Trulieve continues to separate from the pack propelled by a differentiated strategy and meaningful competitive advantages. With that, I'd like to turn the call over to our Interim CFO, Ryan Blust. Please go ahead.
Ryan Blust: Thank you, Kim. Good morning, everyone. First quarter revenue was $298 million up slightly year-over-year, driven by new store openings, adult-use sales in Ohio and growth in the wholesale channel. First quarter gross profit was $183 million or 62% margin, up $9 million from last year. Gross margin will continue to fluctuate quarter-to-quarter depending on product and market mix, inventory sell through, promotional activity and idle capacity costs. SG&A expenses in the first quarter were $119 million or 40% of revenue, compared to $101 million or 34% last year. Higher SG&A included new store opening expenses, technology and infrastructure investments and catalyst campaign support. First quarter net loss was $33 million, compared to a loss of $23 million last year. First quarter loss per share was $0.17, which was comparable to last year. Excluding non-recurring charges, first quarter loss per share would have been $0.02 compared to a loss of $0.05 last year. First quarter adjusted EBITDA was $109 million or 37%, representing a margin improvement of 1% compared to last year. First quarter adjusted EBITDA margin reflects industry-leading gross margin and expense control in our core business. Moving on to our balance sheet. We ended the quarter with approximately $330 million in cash and $480 million in debt. Given the strength of our cash generation, we remain well positioned to address our near-term financial obligations. As we indicated in our last call, we are prepared to retire our senior secured notes due in 2026 later this year with the target to refinance up to half of the $368 million outstanding. Shifting to cash flow. First quarter cash flow from operations totaled $51 million. Capital expenditures were $17 million with free cash flow of $34 million. Absent the catalyst campaign contribution, cash flow from operations would have been $74 million and free cash flow would have been $57 million. Turning now to our outlook, we anticipate second quarter revenue will be flat to up low single digits sequentially. We anticipate gross margin will fluctuate quarter-to-quarter and expect full year gross margin will be comparable to 2024. We expect full year cash flow from operations of at least $250 million and capital expenditures above the $40 million. We may refresh our forecast later this year dependent on macroeconomic conditions and the timing and progress for Catalyst. I look forward to working with the team as we execute on our plan. With that, I'll turn the call back over to Kim.
Kim Rivers: Thanks, Brian. Cannabis is an integral part of daily life for millions of Americans. Legal cannabis provides safe products for patients and adults seeking relief and recreation. This is a growing American industry that employs almost 0.5 million workers directly, while generating tax revenue and contributing to economic growth through support services. U.S. cannabis sales are projected to reach $36 billion this year. Today, The U.S. has 39 states with medical and or adult-use programs, all operating in direct conflict with federal law and popular opinion. Most Americans support reform, including Rescheduling, SAFE Banking and expanded access, especially for medicinal use. A March poll conducted by Fabrizio, Lee & Associates showed 72% of registered voters support Rescheduling with 80% of voters aged 18 to 34 in favor. The growing divide between federal and state law is unsustainable. We remain optimistic about the future of the industry under the current administration. In Florida and Pennsylvania, a majority of constituents support adult-use legalization. We believe, it is a matter of when and not if these states will launch adult-use programs. Trulieve will do its part, continuing to push for common sense reform, working directly with elected officials, regulators and key decision makers alongside industry peers. Bolstered by industry-leading margins and strong cash generation, Trulieve has the flexibility to make strategic investments, while reducing beverage balance sheet leverage. With our loyal customer base, branded products and reform efforts, Trulieve stands out as an industry leader. I am so proud to lead this team. Together, we are ready to define the future of cannabis. Thank you for joining us. And as I always say, Onward.
Christine Hersey: At this time, Kim Rivers and Ryan Blust will be available to answer any questions. Operator, please open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Luke Hannan with Canaccord Genuity. Please go ahead.
Luke Hannan: Thanks. Good morning, everybody, and congratulations on the results. Kim, I wanted to dig in. I mean, you touched on in your prepared remarks that it is an industry leading margin and very robust cash flow that you're able to deliver during the quarter. But Q1 is typically seasonally a slower quarter. Despite that, you delivered a 62% gross margin. I know that, that sort of ebbs and flows throughout the year, and you're still anchored around that 60%. But can you just shed some light on what specifically drove that sort of outperformance versus the 60% during this quarter, if there happened to be one or two items that were really behind that? Thanks.
Kim Rivers: Yes. Thanks, Luke. As we've said consistently, right, that the margin really will fluctuate from quarter-to-quarter depending on specifics in terms of what's happening within the quarter. I would, of course, like to take the opportunity to give kudos to the entire team, with that has remained focused on continuing to deliver exceptional operational efficiencies across the platform, everything from, of course, expense control at retail, but really also outperformance not only from a disciplined expense control side on the production and cultivation, but of course, the outperformance also on the yields and the quality of the flower and products that we're able to produce. Product mix also has a bit to do with it in terms of what folks are gravitating towards in the quarter. The Company remains very disciplined in our strategic positioning of our products. And again, best kudos to the entire team in our shared services department, who focuses on really deep understanding of the customers. And it's one thing to understand the customer. It's another thing to be able to actually take those learnings and monetize and react, quickly to changing patterns and trends. And so, I think that, we as an organization are continuing to build upon those expertise, which are going through in the numbers. That being said, I would just say, that again, as we look through and we look down the pike at the rest of the year, that it will absolutely we fully expect it to ebb-and-flow just with certain dynamics that may be happening in a quarter. And again, that product mix and the consumer preferences, we have an obligation, we're always going to meet the customer where they're at. And so, we'll see where that ends up for the rest of the year. But really, I think it's controlling the controllables and really a laser focused on continuing to deliver efficiently, but also, of course, like I said, meeting that customer where they're at.
Luke Hannan: That's great. Thanks. And for my follow-up, I did want to ask about your beverage line as well. So, you've touched on some of the success that you've witnessed to-date. When it comes to the sort of consumer that you're attracting or that product line is attracting rather, is that more of the typical cannabis connoisseur? Is it gaining traction with those who maybe haven't been quite as familiar with THC products or cannabis in the past? And then, I realize this is sort of a few questions in one here, but I'm curious to know how the consumer education and perhaps government education efforts have gone so far as well. Thanks.
Kim Rivers: Sure. So, it's still early days, Luke, as it relates to Onward, but we are very excited as it relates to initial findings. And I mentioned in our prepared remarks that, we were focused on connectivity with the consumer, and that's one of the reasons, why we've leaned so heavily into sampling events across the stores that we are selling in. And we have hundreds of those events scheduled throughout the summer, so that we can continue to directly interface with the consumer and directly gather that data and intel because, again, that's something that we're we build strongly about at Trulieve. And early indications are that, it's a mixed bag as it relates to consumers, which we find very exciting. So, as we look to call it the stronger products, call it, 10 products, it certainly appears that, some of those consumers are familiar with cannabis and have definitely understand right tolerance levels and how they integrate cannabis into their regular consumption habits. Whereas on the five's and the three's, we're doing a lot of conversation around folks, who haven't tried cannabis before, who are the Canna Curious or maybe they've tried here and there and are interested in really in our case, because we are through a standard call it, beer and wine or liquor distribution channel are curious about maybe replacing or augmenting alcohol consumption with a cannabis product. So, we believe education is key to the sustainability of this category and are working not only, of course, directly with consumers, but also have a whole education platform behind the scenes with our distribution partners to make sure that, the sales teams and associates because we are finding that there's knowledge gaps for sure, as it relates to sales force training in these stores because they're just not familiar with the category. So, we see that as a very large opportunity for us to come in and really be, the leading expert and source of information for the sales force on the ground and also, of course, through our distribution partners as well.
Operator: The next question is from Aaron Grey with Alliance Global Partners. Please go ahead.
Aaron Grey: Hi. Good morning. Thank you very much for the questions and congrats on the quarter. So, first question for me, just want to talk a bit about the rewards program, seems to be getting some nice momentum. You can speak to how it's helped you to refine your promotional strategy, build a moat around your core consumer. And if you're looking to make any adjustments to it, I know it's been a couple of quarters now that you've implemented it. So curious, any feedback you have now the program has been active for some time, kind of for about 7% of sales? So, any kind of targets or potential changes you might want to implement now that's been in there for a while? Thank you.
Kim Rivers: Yes. Thanks, Aaron. I mean, the loyalty program has just really been a home run for us. And so, we're continuing to focus on finance and adoption, because again, it's still fairly new for us. And the feedback has been exceptionally positive. We're continuing to do some testing within the platform in terms of what types of additional offerings resonate with consumers, whether it's some increased points on specific brands, and whether it's offering loyalty rewards members, specific loyalty only savings on certain days or certain products. So, we're doing a lot of continued exploration and testing on what really resonates with that customer base. But, I mean, look, we've got, as we mentioned, over 650,000 folks signed up. And when you've got over 68% of purchases in Q1 from folks that are subscribed, there obviously is definitely -- this is a very exciting tool for us to continue to lean into.
Aaron Grey: Okay, great. Appreciate the color there. Second question from me, just on Florida and the promotional environment. Can you comment on the promotional environment that you're seeing there? We're now six months removed from the adult measure not passing at the November election. So, are you seeing the notable change in the competitive environment in the state? Do you feel like, now, you've kind of worked through any potential inventory that might have built up, ahead of anticipation, and it's more rational now with the more focus needed on profitability and cash flow? So, any commentary on what you're seeing in the environment, Florida, would be helpful. Thanks.
Kim Rivers: Yes. I mean, I think that across the country, and then I'll get to Florida specifically, but I think across the country, as I mentioned in the prepared remarks, we are starting to see some continued macroeconomic pressure on the consumer. We are seeing and it's a mixed bag, depending on the specifics in the market, but I think just generally, and we saw this this has ebbed and flowed throughout our history as a company, so this isn't a pattern that we're unfamiliar with. But right where customers are looking to stretch their dollar a little bit more, looking to potentially trade down. And so again, having that right product mix is really key in every market. And in Florida specifically, again, as you know, we've got a variety of competitors in Florida and not every competitor is approaching 2025 in the same way. We certainly are seeing some competitors who are definitely continue to not be necessarily rational, as it relates to pricing and continue to have kind of broad-based approaches to categorical discounts, et cetera. We're going to continue to operate the way that we've continued to operate, meaning that, we're going to be strategic in terms of speaking directly to our customers, while also ensuring that, we have product offerings and availability to, again, meet customers where they are. So right in an environment where you may have some trade down occurring, you, of course, want to make sure that your value portfolio is robust and can speak to that customer, while maintaining our high levels of service. And again, the loyalty program helps with that, as it relates to retention to make sure we retain the customers that we have. So, certainly, there is wallet pressure in the market. But again, I think that's more than just a Florida conversation. I think that that's a national conversation. But I think that, we're very aware of it and very equipped in how we're strategically addressing it. And it was present in the first quarter as well. And I think we held our own.
Operator: The next question is from Russell Stanley with Beacon Securities. Please go ahead.
Russell Stanley: Good morning and thank you for taking my question. Just wanted to follow up on a prior question around Onward. I know, again it's early days, but can you talk about where you're seeing the strongest traction in terms of distribution channel, direct-to-consumer versus retail shelves? And on the direct-to-consumer front, just wondering which states you're seeing most interest out of? Thank you.
Kim Rivers: Sure. So, Russ, look, I mean, I think we believe strongly that this is ultimately going to be a distribution play. We have augmented some of our strategy as it relates to direct-to-consumer and not have to do more with our pricing tiers and shipping costs and whatnot and our ability to negotiate that to a more reasonable position. So, I think it's maybe a little early for us because that just happened for us. So, there was a pretty large spread, if you will, on cost between DTC and distribution previously. And so, I would say, check back with me on that maybe next quarter and I can give you some additional color. And again, as it relates to state the same thing, I think it's a little early to be able to call, balls and strikes in terms of who and where leadership is because we're -- again, this is a reminder to everyone. This is a pilot for us. So, we have kind of our first normalized manufacturing run that is literally coming off the line right now in time for summer. And so, we'll be able to provide you guys, I think, some deeper color on that next quarter.
Russell Stanley: Great. Thanks. And then, specific to Florida, I just want to ask around patient count growth. It varies week-to-week considerably, but most of April was pretty strong. Any thoughts on what's behind that beyond perhaps 4/20 and how sustainable the growth might be in Florida given the penetration rate quality quite high?
Kim Rivers: Sure. Yes, I mean, I think, of course, we were happy to see the numbers coming out of Florida in April. I mean, I think anytime you have a robust legalization campaign, it's going to impact to some extent, right, renewal rates as well as new patients entering the market as they contemplate whether or not they want to spend the money to renew a card or get a renewal vis-à-vis being hopeful that adult-use will pass and just not always understanding the implementation timeline behind legalization post amendment passes. So, I think that, we may have some rebound happening there and we'll see, right? And again, I think we've got to kind of chart that out over the next, call it, three to six months. But, look, I mean, Florida has we have over 21 million residents, and as cannabis becomes more and more mainstream, there of course is continued opportunity for Floridian to enter the program and to become patients for sure.
Operator: The next question is from Frederico Gomes with ATB Capital Markets. Please go ahead.
Frederico Gomes: Good morning. Thanks for taking my questions. Congrats on the great quarter. First question is, I believe you spent over $23 million in campaign and political contributions this quarter. So just curious, if you could provide any estimate or how do you think that how much more capital you intend to allocate to, I guess, other contributions through the year and if that's already fully accounted for in your cash flow guidance for this year? Thank you.
Kim Rivers: Sure. Our cash flow guidance is our cash flow guidance that incorporates everything that we see sitting here today. So, yes, I would say that, that is fully baked guidance. As it relates to the spend, this quarter, as mentioned, right, there were some pretty significant efforts that were happening across both federal and in Florida specifically. And in Q1, 700,000 petitions have been collected for 2026 efforts. So, I would not -- what I would say is that, that is outsized for what we see moving forward throughout the year. But it's really is going to depend on what the opportunities are and what catalysts become clear and more in focus as the year continues. And we do feel like it's important to be able to lean in and to invest as those opportunities arise.
Frederico Gomes: Thank you very much for that. And second question is just how you're thinking about M&A in the current environment? We know that valuations are at all-time lows in the public space, but just curious how you're seeing that? And considering the cash you have on hand at the same time some of your deleveraging initiatives, how do you think about M&A as a capital allocation alternative? Thanks.
Kim Rivers: Sure. So, as we mentioned, we are absolutely focused on addressing, the balance sheet this year and we'll be doing that. And that being said, of course, we're always interested to understand what the opportunities are that are out there. I am of the personal opinion that pricing is actually not as low as it's going to get. There's significant debt coming due for a lot of companies out there, who I don't think unless something dramatically changes have the ability to pay that down like we do. And so, I think those are going to be facing some tough decisions and that creates opportunity. And so, I think that, we are going to make sure that, we're in a position to be opportunistic when those opportunities arise. But I also think that there's no benefit here in not being patient.
Operator: The next question is from Bill Kirk with MKM Partners. Please go ahead.
Bill Kirk: Good morning, everybody. I had a question on 4/20 year-over-year. What were dollars year over year? And I asked because units were a pretty big acceleration over 1Q, yet the 2Q revenue guide is not as large of an acceleration over 1Q. So, I'm curious what dollars were for 4/20 year-over-year.
Kim Rivers: Yes. So, we don't give specific dollar or revenue by holiday. But what I can tell you is, I mean, 4/20 is one weekend, and we have a whole quarter, right? And so, you have to look at how the consumer is reacting within that quarter, right? And so, what we've said is that, we've said that, I mean, the good news here is that, we've got traffic increases, we've got strong retention. But what we also have is, we have wallet pressure and we have potential trade down happening. So PMIX is a big part of that equation, in terms of what we could see, right, in Q2. So, it was an exceptionally strong 4/20 in terms of our ability to serve a bunch of customers, and to continue to sell and have a number of transactions come through our platform and that's across the country. But again, there's that's one weekend and there's a ton of other factors at play.
Bill Kirk: And as a follow-up on the THC Beverages, I believe you're allowed to pay retailer slotting fees for those. Alcohol is not allowed to pay slotting. So, I guess are you seeing the emerging Delta 9 beverages paying for shelf space as like a way to establish themselves? There's a lot of new entrants. So, do they go pay slotting to get established at retail accounts? And also, is that a way for THC beverages to kind of take space from alcohol? Alcohol can't pay it, pay the retailers for shelf space and get it right from those alcohol brands.
Kim Rivers: Yes. So again, we are not paying slotting fees to-date. And I do think that, I think that, that is varies by state-to-state. Specifically, as the states passed hemp regulations and regulatory framework, we're seeing the emergence of specific regulatory structures around THC beverages, in many cases that follow the three-tier classic system. So, I don't necessarily believe that, reliance on a flooding fee strategy is going to be a long-term sustainable strategy, not to say that in the short-term in certain states perhaps it's being done. Again, right now in our pilot, in Florida, we are not seeing that as a necessary or even widely used strategy among the in the THC beverage market.
Operator: The next question is from Andrew Semple with Echelon Capital Markets. Please go ahead.
Andrew Semple: Good morning. Congrats on the Q1 results. My first question is just on the robustness of the supply chain with respect to tariffs and potential tariff interruptions that we might see here. Do you have any concerns on any of your product categories with sourcing, packaging and other materials, as it relates to risk around tariffs or that helped relieve those positions throughout the year?
Kim Rivers: Yes. Thanks. We've done a very robust analysis around potential tariff impacts and it's immaterial for our organization. Again, kudos to our supply chain team. They have had this on their radar for quite some time and have worked directly with our suppliers to ensure that, the impact when and if would be minimal and in fact that is what has come to fruition. So, we feel good about our position on that.
Andrew Semple: Great. Okay. Glad to hear. And my follow-up here would just be on the Company's inventory balance. Days of inventory have been creeping higher in 2024, but that continued into the first quarter of 2025. Is that reflective of growth expectations or are you building any strategic inventory reserves in states such as Pennsylvania, maybe ahead of the adult-use, both there or the legalization opportunity there? Maybe just some thoughts about the Company's inventory position, as it stands today would be helpful.
Kim Rivers: Yes. Our inventory is in a place where, I mean, we're fairly comfortable. It's going to fluctuate quarter-to-quarter and as it moves through the line, I mean again we're different than some of our peers and that we do believe very strongly in branded products through branded retail as a key cornerstone strategy of ours. And as we mentioned, right, we've been increasing wholesale in certain markets, we have depending on the particular state, we may be billing to for the launch of certain products and et cetera. So, it's again, I think it's a normal fluctuation, given our current strategic priorities across the platform.
Operator: This concludes our question-and-answer session. I would like to turn the call back over to Christine Hersey for closing remarks.
Christine Hersey: Thanks everyone for your time today. We look forward to sharing additional updates during our next earnings call. Thanks again, and have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.